Operator: Good day and thank you for standing by. Welcome to the Hyliion Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ prepared remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference call over to Adam Bresser, Hyliion’s Senior Director of FP&A and Investor Relations. Please go ahead.
Adam Bresser: Thank you, and good morning, everyone. Welcome to Hyliion Holdings second quarter 2022 earnings conference call. On the call today are Thomas Healy, our Chief Executive Officer; and Sherri Baker, our Chief Financial Officer. The slide presentation accompanies this conference call is available on Hyliion’s Investor Relations website at investors@hyliion.com. Please note that during today’s call, we will make certain forward-looking statements regarding the company’s business outlook. Forward-looking statements are predictions, projections and other statements about anticipated events that are based on current expectations and assumptions, and as such, are subject to risk and uncertainties. Many factors could cause actual results to differ materially from the forward-looking statements on this call. For more information about factors that may cause the company’s results to differ materially from such forward-looking statements, please refer to the earnings press release, as well as our filings with the Securities and Exchange Commission. Forward-looking statements speak only as of the date they are made. You are cautioned not to put undue reliance on forward-looking statements and we undertake no duty to update this information unless required by applicable law. With that, I will turn the call over to Thomas.
Thomas Healy: Thank you, Adam. Hello, everyone. Thank you for joining us today. When we last spoke with you, it was from the Advanced Clean Transportation Expo in Long Beach, one of our industry’s largest trade shows. We had a number of Hypertruck ERX and Hybrid trucks on display and we are able to meet with dozens of fleet operators, suppliers, investors and analysts, where we gathered valuable insights on industry trends and the evolving needs of our customers. Additionally, during the conference, we were able to host over 70 ride-alongs in our Hypertruck ERX. The transportation and energy markets are changing rapidly and despite persistent macroeconomic headwinds, Hyliion remains poised to revolutionize the market for Class 8 semi-trucks. We are turning industry interest in our technology into orders, and to-date, we have received 200 orders backed by deposits to secure Hypertruck ERX production swaps. Moreover, we remain on track and on schedule with our development and design verification milestones, including on-road testing. Importantly, we recently achieved a significant milestone in our Hypertruck ERX development by completing our first delivery of freight to one of the nation’s largest retailers. The movement of freight was accomplished with an Alpha version truck, one of the early development trucks. This was in partnership with GreenPath Logistics, a Hypertruck ERX Innovation Council member who has placed an order for 50 Hypertruck ERXs and is an active adopter of our Hybrid product. In addition, yesterday afternoon, we released a video of GreenPath’s President, sharing more on their experience with their shift towards electrification. Please go take a look. In the second quarter, as previously announced, we formalized what has been a successful and productive collaboration with Cummins. The goal of this collaboration is to optimize the Cummins natural gas engine as the generator for the Hypertruck ERX powertrain. This engine leverages a North American network of approximately 700 publicly available natural gas fueling stations. Working together with Cummins, we will pursue key environmental certifications for the natural gas engine that will serve as a range extender by providing onboard power generation to recharge the Hypertruck ERX’s batteries. As I mentioned earlier, we have secured orders backed by deposits for early production slots for 200 units of the Hypertruck ERX, 190 of these orders were placed by the end of the second quarter, and another 10 of them were recently announced. This reflects not only our R&D achievements, but also the success of our ongoing ride-and-drive events. In addition to the orders, we have received reservations for approximately 2,000 units to-date. These orders and reservations remain subject to the finalization of commercial terms. In the second quarter, as previously announced, NFI Industries ordered 10 units of Hypertruck ERX production slots. In addition to being a founding member of Hyliion’s Hypertruck Innovation Council, NFI is a fully integrated North American supply chain solutions provider with a 90-year history and a fleet of more than 4,500 trucks. NFI approaches sustainability from a strategic perspective, and their commitment to tracking and reducing greenhouse gas emissions make them a clear leader in the drive to zero emission transportation. Also previously announced in the second quarter, Holcim U.S., a global leader in innovative and sustainable building solutions with a focus on low carbon construction ordered 10 units of Hypertruck ERX production slots. They plan to utilize the Hypertruck ERX units in their Texas and Oklahoma operations. In July, we announced that Ruan, a Hypertruck Innovation Council member ordered 10 units of Hypertruck ERX production slots. Ruan is a proponent of alternative fuels and was an early adopter of CNG fuel trucks. Their order came shortly after a visit to Hyliion’s office in Austin, where they participated in a Hypertruck ERX ride-and-drive experience. We continue to hear positive feedback from our ride-and-drive events, as well as some of the struggles that fleets are facing as they attempt to shift towards plug-in electric vehicles. This underscores the fact that fleets are in need of a practical and low operating cost solution like the Hypertruck ERX that can ultimately offer a far superior emissions benefit. Our orders today represent approximately 2% of our current customer’s fleet size and we expect to continue to increase our order count as we near the start of production, while at the same time, building a backlog of reservations. This reflects that our customers truly recognize the capabilities and value proposition of our technology. On previous earnings calls, we have mentioned that Hypertruck ERX will qualify for ZEV credits under CARBs mandate for the OEMs, as well as the mandate for fleets as currently written. We are pleased to announce that as currently drafted, the recently announced Inflation Reduction Act will allow for a 30% tax credit or up to $40,000 and for all near zero and zero emission heavy-duty vehicles, including the Hypertruck ERX. This is a federal initiative, which means that vehicles deployed in any state will qualify. We are excited to work with our elected officials as this bill makes its way through Congress. This potential legislation will decrease the upfront vehicle cost of electric trucks, which is often one of the main hurdles fleet space when adopting new technology. A reduced upfront cost, coupled with Hyliion’s low operating costs is a major win for fleets and our shift towards cleaner transportation. Turning to updates on our Hybrid product. As we have stated, the Hyliion Hybrid provides a great cost effective solution for customers who want a greener alternative now without the financial commitment of a fully electric powertrain. In Q2, we continue to ship more units to fleet and booked additional revenue. While our second quarter revenue was down on a sequential basis, we are pleased to share that we have established a sales backlog of approximately $1.5 million and still plan to hit our revenue targets for this year. Our sequential reduction in revenue from last quarter is primarily related to continued global supply chain disruptions, specifically around receiving trucks and being able to install our Hybrid system. We continue to target use cases that match the performance characteristics of our Hybrid solution, such as areas with rolling and hilly terrain. Also, we continue to generate interest from fleets who see our Hybrid solution as a good fit for their broader ESG plans. For the balance of the year, we will continue updating customer trucks with the Hybrid product and we will explore the possibility of selling full trucks with our Hybrid products installed as another path to market for the Hybrid system. While persistent and global supply disruptions can contribute to longer delivery times, we continue to work closely with our partners to secure the parts we need to fill orders. With our current order book and sales pipeline, we remain confident in achieving our sales targets for 2022. Turning to our Hypertruck ERX milestones, you can see that we continue to hit new development milestones on our Hypertruck ERX. Our growing team continues to work diligently through these milestones and this marks the third consecutive quarter we have met the commercialization milestones laid out on our fourth quarter 2021 earnings call. In the second quarter, we began the second phase of our Hypertruck ERX design verification process with the start of on-road testing. We remain on schedule to complete design verification, including initial controlled fleet trials and the start of winter testing by the end of this year. As we have shared before, our multiphase development program includes up to 1 million test miles as we bring this product into production. At the same time, we are pursuing final regulatory approvals with a goal of starting formal production late next year. With that goal in mind, we continue to work closely with our suppliers to secure delivery of key components to reach our development and commercial milestones. Looking further ahead, we will grow and evolve with the industry. We have designed our Hypertruck product platform to be generator agnostic. Today, we utilize natural gas. In the future, we will transition to hydrogen, when it is more readily available and economically viable for customers. Our approach consists of three stages. It starts with our current natural gas engine then shifts to a fuel agnostic generator that can run on both natural gas and hydrogen, and eventually moves into a hydrogen fuel cell solution. I know everyone at Hyliion shares my passion for our technology and my confidence in our commercialization and business development plans. I look forward to updating you on our progress over the second half of the year. With that, I will turn the call over to Sherri.
Sherri Baker: Thank you, Thomas, and good morning, everyone. I will now review our second quarter financial highlights. As Thomas mentioned, we continue to recognize revenue on our Hybrid powertrain solution, which totaled $0.2 million in Q2. At the same time, we are investing in R&D to support our product development roadmap. In Q2, R&D spend was roughly $20 million, up $4 million sequentially and up nearly $7 million year-over-year. SG&A spend, which included the expansion of key infrastructure for our commercialization initiatives and operations was approximately $12 million in the second quarter, up $2 million sequentially and up $2 million year-over-year. Operating expenses for Q2 totaled approximately $32 million, compared with $23 million in the year ago period, as we ramped up our product development. Overall, Hyliion reported a net loss of approximately $34 million for the second quarter, compared with a net loss of $27 million in Q1 and a net loss of $23 million in Q2 of 2021. Turning to the balance sheet, we ended the second quarter with $500 million available to fund our commercialization plans for both the Hybrid and the Hypertruck ERX. This figure includes nearly $200 million in cash and cash equivalents, $190 million in short-term investments and $111 million in long-term investments. Our short-term and long-term investments are high quality credit instruments, with no maturities beyond 36 months and a weighted average maturity of 11 months across our portfolio. Our long-term investments are designed to preserve capital, while providing liquidity to meet the company’s operating requirements. Turning now to our outlook, for full year 2022, we expect our revenue to be in the range of $2 million to $3 million from Hybrid sales and the potential sale of full trucks with our Hybrid system installed. The actual amount of revenue recognized will depend on the number of units we sell, full truck sales with Hybrid and the mix of retrofit versus new installations. Additionally, we are lowering our full year operating expenses to be between $130 million and $140 million, representing a $5 million reduction in our range. This is driven primarily due to timing associated with R&D costs to support the commercialization of the Hypertruck ERX with no expected impact to the commercialization milestones we have laid out today. Moreover, we expect to remain well capitalized through the key development milestones we have discussed on today’s call and outlined in today’s presentation. With that, I will turn it back to Thomas for a few closing remarks.
Thomas Healy: Thank you, Sherri. The turmoil in the world’s energy markets underscores how the time for electrification and decarbonization is now. Based on recent conversations and feedback from stakeholders and others interested in the decarbonization journey, we have recently launched an educational video series to better inform everyone on the current and future of electrification. Our first video is on our website and there will be more to come soon. For those of you who don’t have the opportunity to ask questions on today’s call, we posted last Friday to collect questions you may have. This will give us a chance to address any additional questions that aren’t covered during today’s Q&A. We will be posting a video with these answers on our social media shortly. Lastly, I am excited to share that we will be hosting a virtual ride-and-drive event on September 13th for all investors and analysts who are interested. During this call, we will not only showcase what it’s like driving the Hypertruck ERX and how it compares to a diesel truck, but we will share more on our businesses go-forward strategy. In the next few weeks, we will share a link to the event and we encourage all of you to join us for the video call. The commercial vehicle industry is at an inflection point and early adopters of Hyliion’s technology recognize our potential to transform the industry. Our solution is innovative, yet practical due to its ability to leverage existing and widespread infrastructure to offer a lower cost of operation. With that, we will open the call to Q&A. Operator, please go ahead.
Operator: [Operator Instructions] Your first question comes from the line of Steven Fisher from UBS. Your line is open.
Steven Fisher: Great. Thanks. Good morning and congrats on hitting your commercialization goals. Just on the Hybrids, you have a $1.5 million backlog. What kind of visibility do you have for Q3 and Q4, I know you reiterated the guidance there, is there any further kind of risk that those will slip a little bit more and what might it take to improve that certainty?
Thomas Healy: Thanks, Steven. Yeah. So, first off, we were excited to share the $1.5 million in backlog. While we did see sequentially a dip in our revenue recognition for this past quarter, I think, that backlog shows that there’s strong customer interest still in the product and a lot of the slip really just came from supply chain issues and specifically around availability of trucks. And so we did have installs that were scheduled for Q2 that have since slipped into Q3 just because of truck availability. So we have got a high confidence that we will be able to do those installs in Q3 and Q4. And that’s why we feel confident with reiterating the $2 million to $3 million in overall yearly guidance.
Steven Fisher: That’s helpful. I mean just to clarify, I mean, has the supply chain stabilized enough that you are now as of now receiving all the components and everything you need to achieve that run rate?
Thomas Healy: Yeah. So we are feeling good on our side in terms of the supply chain and a lot of that just came from having placed orders a while back and working closely with the supply base to actually get those components in and that’s where our Hypertruck development still stays on track with where we wanted it to be. With the Hybrid specifically, it really just came down to we were awaiting trucks to come in from fleets and so there’s kind of two different aspects of this. One is some of the fleets we are working with were actually waiting for the trucks from the OEMs. So they have placed brand new trucks and they are waiting for those to get delivered to then come to us install them to then ship them back. The other aspect is we actually had some fleets that had placed Hybrid orders and we are planning on doing upfits of existing trucks in their fleet. But they are just so busy on the logistics side that they couldn’t down the trucks for a couple of weeks, while we do the install. So that was what also played into the reduction in revenue for this quarter. But we are working closely with those fleets and we feel confident that in the two quarters ahead here we will be in good shape to be able to hit that total year target.
Steven Fisher: Okay. Great. And then shifting gears over to the ERX, just curious if there’s a particular catalyst point for bringing in a bigger wave of orders or converting some of the reservations you have into orders? Is it certifications that you need, is it really just getting the production started late next year and kind of being proven out. I am curious in the near-term, over the next few quarters, obviously, you add 10 additional orders in the quarter, what’s kind of the reasonable level to expect as we proceed here for the rest of the year and into next year ahead of that commercialization?
Thomas Healy: Yeah. I will start off with saying, I mean, the goal going forward here is to continue to increase the demand of the Hypertruck and continue to grow that backlog of both orders and reservations. And to your question, I think, there’s a couple of different catalyst points. The first that we have already experienced is starting the actual ride-and-drives and that’s when we really started the orders, which -- just to reiterate, an order is, it’s a commitment to a production slot. It’s backed by a deposit and so we booked out the first 200 of those. The catalyst there was really starting the ride-and-drive events with fleets, letting them get in the truck and actually experience it firsthand and that’s what ultimately stemmed that round of orders. We see another catalyst point when we actually go into fleet trials, which just as a reminder, later this year, second half of this year, we will be launching controlled fleet trials and we will carry those through into next year, expanding how many fleet trials we are doing as we move into production. I think that’s going to be another catalyst for us as fleets get to really run these trucks in their operations. As we noted on this call, we actually did our first freight delivery with GreenPath Logistics this past quarter. And then the other catalyst that we obviously see as probably the largest one is actually moving this into production, which as a reminder will start in late 2023. So I think as we go through this journey, we will continue to look to grow that backlog, and for different fleets, just depending on what their buying cycles are, some are confident and ready to go just after a ride-and-drive and others wanted to do in-trial experiences and others want to see it in production first.
Steven Fisher: Okay. Thanks, Thomas.
Operator: Your next question comes from the line of Bill Peterson from JP Morgan. Your line is open.
Bill Peterson: Yeah. Hi, guys. Thanks for taking my questions. It’s nice to see that the Hypertruck should qualify for the incentives under the inflation Reduction Act. I guess as we look at the 2024 and beyond models, you should, I guess, assuming you get to the $40,000 benefit. But that said, a lot of other truck companies will also benefit from that, too. So wondering as we think about our models, how should we think about pricing at this stage, I mean, obviously, there’s been a lot of inflation until now. So any sort of older models, I am not sure we should rely on, but how should we think about pricing in there, obviously, as it relates to the cost of ownership for your customers?
Thomas Healy: Yeah. Thanks, Bill. And I guess, first, we have not come out with formal MSRP guidance on the Hypertruck system. Reason being is just over the last year, specifically, we have seen a lot of fluctuation in the market, both from the supply market standpoint. We have seen drastic increases in just even diesel truck pricing, pretty substantial increases actually. So from that standpoint, we are looking at it closely, we are working with the customers that we have announced orders with and reservations on to make sure that we are able to supply them a solution that works well for their operations, works well from a TCO standpoint. But ultimately, is obviously bringing forward the best return for our shareholders as well. So with that being said, we -- the thing that we see as really positive with the Inflation Reduction Act is, ultimately, it’s going to decrease the upfront cost of the vehicle, which is great. And one of the things that we have reiterated in the past is our operating costs our actual running this truck in a fleet, the cost of that operation is less with our vehicle than it is with a conventional BEV or it is with a conventional hydrogen fuel cell truck. So if we can reduce that upfront cost and couple it with a lower operating cost, that’s a win-win for our fleet.
Bill Peterson: Okay. Thanks for that color. I wanted to ask about the relationship with Cummins. On one hand a few quarters ago, you announced that the Cummins 15-liter would actually be a competitor maybe with your Hybrid. On the other hand, you have now announced Cummins as your generator partner. I guess, how should we view this, is this a competitor or a collaborator, especially as it relates to Hybrid. And I guess, are there other areas for further collaboration as we think about future products, things like agnostic or fuel cell, any update there would be helpful?
Thomas Healy: Sure. So I think you gave a good high level overview on it. A couple of quarters ago, we did express that we saw Cummins new 15-liter as a competitive threat to the Hybrid system and really just reducing the total market opportunity that we would go after with Hybrid. But obviously, we have announced they are a strong partner with us, collaborator with us on the Hypertruck solution and we are really pleased to express that collaboration because I think it shows just the confidence they are bringing forward in the product line. It also increases our confidence levels as we go through the CARB certification. So I think a lot of benefits that come from that. Ultimately, as we go forward, we will continue to work with Cummins and look at what are other opportunities or ways we can collaborate. Bill, as you -- as we have chatted about it and as I know we have laid out a three-step approach to ultimately get the company to a hydrogen based future, the fuel agnostic solution, as well as a fuel cell solution, which we plan on being able to share more as we go forward and we look -- we are looking at various partners or ways that we can bring those solutions to the market.
Bill Peterson: Thanks.
Operator: Your next question comes from the line of Andres Sheppard from Cantor Fitzgerald. Your line is open.
Andres Sheppard: Hey, Thomas. Hey, Sherri. Congrats on the quarter and thanks for taking my question. I wanted to maybe ask about the order book and the reservations, right? So you have updated the backlog, grew by 30, if you include the recent announcement from -- with Ruan. So bringing the total to 200 orders in the 2,000 reservations. I am just wondering, could we get your thoughts, is the expectation to convert all 200 orders and 2,000 reservations or should we maybe conservatively assume that maybe some of those don’t materialize? I am just wondering if you can maybe help us try to quantify those going forward?
Thomas Healy: Sure. So on the order side, these are really commitments for production slots, build slots of these trucks. So from our end, we are -- as we have shared already, we are working towards a late 2023 launch of these, and as we have discussed, as we go into 2024, we will have those vehicles delivered back to the fleet in the early part of 2024, so late 2023 started deliveries rolling into the early 2024 timeframe. For the reservations, those are really indications from fleets of their interest levels of how many units they want to be adopting into their operations. Some of those milestones I mentioned before when talking about with Steve about what are some of the key catalysts that we should be looking at. Those are the things fleets are going to be wanting to see. So we do expect to be able to take some of those reservations and convert them into orders as we hit those different milestones and we already accomplished one of those. We had an announcement around Monet, who had placed a reservation with us, and then we were successfully able to shift some of those reservations over to orders just after even a ride-and-drive experience.
Andres Sheppard: Got it. Okay. That’s very helpful. Thanks for that color, Thomas. And maybe to follow-up on Bill’s questions, regarding the Inflation Reduction Act, right? I think it’s great that the ERX will qualify for that 30% tax credit. Do you have a sense of when you might be able to provide the ASPs for the ERX? I am wondering if with this tax credit, do they become, obviously, they become more competitive, but are they still competitive with traditional diesel counterparts? I am just wondering if any plans on providing those ASPs or any additional comments that you could share there? Thank you.
Thomas Healy: Sure. So we do envision being able to supply more as we go forward on that end. But, ultimately, just the changes that have happened in supply chain as of recent and even the changes in cost of fuel as of recent. We have seen natural gas stay pretty stable in terms of actual pump pricing. We have seen diesel skyrocket, right? I think if we look at the last year, we have probably seen a doubling, maybe even close to a tripling of diesel pricing. And so we are really looking at this and looking at it from the standpoint of we understand our fleets we are working with, want to see a strong TCO model around the product. They want to make sure that it works from a cost standpoint in their operations and we are targeting of being able to provide that to them. But we also want to make sure that we are setting the pricing accordingly for our business model just as we look at what are the COGS and what are the benefits we are able to supply to the fleet and making sure there’s a strong return for Hyliion on that end as well.
Andres Sheppard: Got it. Okay. Thanks, Thomas. And maybe, sorry, one last one, if I may, in regards to the continued supply chain disruptions, right? Those are affecting not just Hyliion, but those are industry-wide and at a global scale. I am just wondering, do you expect those to continue, and if so, what kind of impact might that have on the orders and the reservations as we look to 2023? Thank you.
Thomas Healy: So we are hopeful that it’s going to ease up. I don’t think we have seen it yet though on the supply chain side of things. It’s still a -- I think everyone’s being affected by, not just Hyliion on by any means. I think to our advantage, what’s working out well is a few quarters ago, we really buckled down and looking at what do we need over the years ahead from a supply basis, specifically as we go through the Hypertruck ERX development cycle and we have been working with those suppliers for a while now to make sure that we are able to obtain and secure those components. And that’s why you have seen us for three quarters now consecutively we have been able to hit what we told you we were going to do on the hyper truck development and we have strong confidence in the continued plan forward on that development cycle. So, huge props to our supply chain team on just working closely with the supply base.
Andres Sheppard: Wonderful. Thanks so much, Thomas. Congrats on the quarter. I will pass it on. Thank you.
Operator: Your next question comes from the line of Jason Stuhldreher from Barclays. Your line is open.
Jason Stuhldreher: Hey, team. I apologize if there is background noise here. I wanted to follow-up on the Hybrid comment this quarter. I think I heard it, but I just wanted to confirm, the holdups are really just on truck availability, nothing on your material or install process? And then as I look at the revenue you have done to-date at about $500,000 and your backlog of about $1.5 million. It seems like the low end of that guidance range is kind of best case scenario, am I thinking about that right?
Thomas Healy: Yes. So I will take the first part and then Sherri can share. So the first part is really, yeah, it’s driven by truck availability. We obviously had our own supply hurdles on just components. But we have been working through those. But the biggest driver was truck availability in getting those in from fleets. That’s what also has stemmed us saying, well, maybe we will supply the entire vehicle as well to a fleet just to help break down that barrier. But, Sherri, do you want to take the second part?
Sherri Baker: Sure. And so I think that you are going to see a combination of two things. One, you will see not only the backlog of our system installations, but also a portion of that will include full truck sales with our system installed. So the exact mix of that revenue is going to be really dependent on the truck availability, not only at the OEM, but the customer availability, that Thomas has said. But given the line of sight that we have today, we still have confidence that we are going to be able to achieve that guidance range.
Jason Stuhldreher: Understood. And as we think about Hybrid over the next four to six quarters, have we seen anybody cancel Hybrid orders because of truck availability, and Thomas to your point, maybe they don’t want to idle their trucks for you to do the install, I mean, any sort of headwind there?
Thomas Healy: Yeah. I think it’s more just been a pushing to the right. We have fleets that still remain very interested in it and they are working closely with the OEMs that they are getting trucks from and then we are working closely with the fleet, and in some instances, directly with the OEM. So I’d say it’s more just shift to the right and that’s why we felt confident in this call coming out and just sharing some more of the backlog we have been able to establish on the Hybrid product, because I think that showcases there’s fleets there that are interested in taking delivery. We just need to work on actually getting them installed and back in the fleet’s hands.
Jason Stuhldreher: Yeah. Okay. Understood. And I guess, Sherri, just financial questions or maybe for Thomas as well. But as we think of -- good to see OpEx in control, as we think about where you guys will exit the year from a headcount perspective. What sort of expectation should investors have about headcount growth next year kind of versus the exit rate this year?
Sherri Baker: No. That’s a great question. So we will continue to invest in headcount for the balance of the year and the majority of the headcount that we are going to be adding is really in the engineering group, so that we can really complete our product development roadmap and timelines that we have talked about. But our expectation would be that as we are starting to exit the year that we will start to flatten out that headcount, because we believe that we will have the appropriate level, not only from a back office perspective, but also from a product development perspective. So I would anticipate that we will start flattening out as we start to exit the year.
Jason Stuhldreher: Understood. Very helpful. One more, if I could just sneak it in, on Hypertruck, a few questions, Thomas maybe, what keeps you up at night in terms of the milestones from here to SOP in 2023? It sounds like there’s not going to be really any need for design changes or anything like that, so what are sort of the biggest risk factors in your mind? And then when I think about the 200 units reservation slots, is the expectation of kind of convert those into sales, call it, 12 months after SOP? And you talked about truck availability on the Hybrid side, how is truck availability on the Hypertruck side for those initial 200 units?
Thomas Healy: Yeah. Thanks, Jason. So a couple of different parts there. So in terms of what keeps me up at night, I wouldn’t say, there’s anything that’s like jumping out as, oh, this has been a problem that we have been running into. I mean I think we are just going through normal development cycles of a new technology, been very impressed with what the team has been able to do on that end. I actually went and got my CDL and did a couple of hundred mile trip in the truck and it was honestly a fantastic drive and an unbelievable experience. So really pleased with how the development is going. Obviously, we do need to go through CARB, EPA and ISO certifications. And those things move out of our control a little bit. We have confidence that we are going to be passing them with no issues. But that’s obviously just a barrier that we need to go through or a checkpoint we need to go through. In terms of the 200 orders and just how we are looking at deploying those. So we will start later in 2023 with the actual deployments and then our plan is to have those delivered back into fleet’s hands by the end of Q1 of 2024. So I think you had mentioned maybe a 12-month period, we are more thinking a shorter period that by Q1 of 2024 all of those vehicles will be in operation and deployed with fleets.
Jason Stuhldreher: And so all the trucks are available then, like you feel confident in just the capacity, be able to meet that from a capacity standpoint?
Thomas Healy: We do. So just to reiterate one other thing we have shared. So we are going to be going to market with the Peterbilt chassis and we have been working very closely with Peterbilt and have confidence in the delivery schedule of those 200 trucks. We have been working with them on kind of when we need to be having the orders placed in order to get the build slots secured and we believe we have the right amount of time in between now and when we need the trucks that there won’t be any issues. But the relationship with Peterbilt has been going very well and they have been a great group to collaborate with as we are bringing this technology to market.
Jason Stuhldreher: Okay. Very good. Thanks. Thanks, Guys.
Operator: [Operator Instructions] Your next question comes from the line of Mark Delaney from Goldman Sachs. Your line is open.
Mark Delaney: Yes. Hi. Good morning. Thank you very much for taking the question. Thomas, you spoke about potentially offering the Hybrid by selling the full truck. So I believe there will be a change in approach. I was hoping you could elaborate on why you may make that change and talk about some of the mechanics of how you could potentially implement that?
Thomas Healy: Yeah. Absolutely. So to add a little more color, so what we shared in the past is the Hybrid is an upfit add-on to an existing truck or a brand new vehicle. One of the things we are pursuing is actually bundling the entire vehicle, so the truck from the OEM plus our Hybrid system and then us supplying that full package to the fleet. A couple of reasons and benefits that actually come from doing this, one is that as we source brand new trucks from the OEMs, if we actually spec the truck appropriately as it comes off the production line, it can actually reduce our install costs and thus improve the margins on the vehicle. So, obviously, that’s a big positive. The other is just as we have been going through these supply chain issues of fleets and having issues arise where they are not able to down trucks for a period of time in order for us to do the install, we are looking at it as if we can supply them the entire asset, that allows them to move quicker, and ultimately, us to be able to deploy Hybrid systems more efficiently and effectively into fleet’s operations. So that’s what really stemmed it.
Mark Delaney: Makes sense. And could you speak to potential timing of when that may be available and how many trucking providers you can potentially partner with?
Sherri Baker: Well, thanks for that question, and one, we are -- on our Hybrid system, we are OEM agnostic. So that is a system that we are able to install on any of the OEMs. So that is one component. This year, we expect to do probably low single digits from a full truck perspective. But, again, I am going to go back to the earlier comment that the mix of our revenue is still really dependent on the availability of the trucks at the OEMs.
Mark Delaney: Understood. Thanks you.
Operator: And your final question comes from the line of Noel Parks from Tuohy Brothers Investment Research. Your line is open.
Noel Parks: Hi. Good morning.
Thomas Healy: Good morning.
Noel Parks: I was interested in the Innovation Council and some of the announcements you have made about orders have been from members of the Council. I was just wondering how far you are along with commitments from the council and for those who haven’t yet made commitments, if there are any, are they envisioning still any design or function -- functional refinements before their -- for their specific businesses before they are ready to commit?
Thomas Healy: Sure. So just as a little background for those listening, the Hypertruck Innovation Council was a group of fleets that we announced probably approaching a year ago or so now. And our goal with them was really have them be a part of the development cycle along with us, have them experience the vehicles before others to really give us feedback on what they like or what areas do we have to improve and we have done exactly that. The innovation council members have come down to Austin. They have gone for ride-and-drives in the trucks. They have given us that feedback. And that’s been invaluable as we have gone through this development cycle. As you have noted, some of them have made the jump to actually placing orders for production slots, specifically some of the recent ones around Ruan, NFI, GreenPath Logistics. Those are all members in the council. Some of the other council members show a lot of excitement in the technology, but they want to get through some of those later milestones that we had mentioned before. They want to go through fleet trials. They want to get initial trucks into their operations and run them firsthand, and so we plan on executing upon that, control fleet trials will start later this year, as mentioned before and carry into next year. So we look to continue to expand the relationship with the Innovation Council member -- members, as well as we have been really pleased to see a strong interest coming in from fleets outside of that council as well.
Noel Parks: Great. And just a question, I know it’s super early to even have a feel for this. But with the Inflation Act, the tax credit that’s in there, are there any concerns about maybe that incentive coming on Board and it actually delaying people making orders just as they are awaiting sort of more details on the rule making process and so forth or do you think that just is going to be sort of incorporate in overall pricing negotiations going forward anyway?
Thomas Healy: So I think from a timing standpoint, from what we are seeing it’s going to line up well, because as a reminder, the Hypertruck goes into production in late 2023, so that’s when fleets will actually be purchasing the vehicles. So I think it’s going to timing wise be fine. What we see is more of an accelerant as opposed to potentially a slowdown and the reason being is just if we reduce that upfront purchase cost to the fleet, that allows them to jump in more easily or quickly into the product. And we see one of the -- as I mentioned before, one of the really benefits with our product is our low operating cost. So reducing the upfront cost helps a bunch, providing them the low operating cost because of the low cost natural gas, that’s a big win for the fleets.
Noel Parks: Okay. Great. Thanks a lot.
Thomas Healy: Thank you.
Operator: And this concludes the question-and-answer portion of today’s call. At this time, I would like to turn the conference over to Hyliion’s CEO, Thomas Healy, for closing remarks.
Thomas Healy: Thank you everyone for joining today’s call. As you heard throughout the call, there’s a lot of exciting developments and milestones that are being achieved within Hyliion and we foresee a lot more excitement in the near future here. And so, with that, we will be hosting a call on September 13th. It’s going to be called a virtual ride-and-drive event. We encourage everyone to please dial in and join us for that. We are not only going to be showcasing the operations here in Austin, showcasing the truck and what it’s like from an experience standpoint, as well as just sharing more on the business strategy on a go-forward basis. So please join in September 13th. In the weeks ahead here, we will be sharing a link so you can dial in. With that, have a great rest of your week.
Operator: Ladies and gentlemen, this does conclude today’s conference call. You may all disconnect and have a wonderful day.